Operator: Good morning ladies and gentlemen. Thank you for standing-by. Welcome to the Vera Bradley Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only model. [Operator Instructions] As a reminder, today’s conference call is being recorded. I would now like to turn the call over to Mark Dely, Vera Bradley’s Chief Administrative Officer. Please go ahead.
Mark Dely: Good morning, and welcome, everyone. We'd like to thank you for joining us for Vera Bradley's quarterly earnings call. Some of the statements made on today's call are prepared remarks and response to your questions may constitute forward-looking statements made pursuant to and within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from those that we expect. Please refer to today's press release and the company's most recent Form 10-K, filed with the SEC for a discussion of known risks and uncertainties. Investors should not assume that the statements made during the call will remain operative at a later time. We undertake no obligation to update any information discussed on the call. I will now turn the call over to Vera Bradley's CEO, Rob Wallstrom. Rob?
Rob Wallstrom: Thank you, Mark. Good morning, everyone, and thank you for joining us on today's call. John Enwright, our CFO also joins me today. Both of our brands Vera Bradley and Pura Vida had a strong third quarter performance. Vera Bradley comparable sales full-price selling and customer count once again rose in the quarter, and Pura Vida’s sales were at the high end of our expectations. As a result, our consolidated non-GAAP diluted EPS of $0.20 was at the top of our guidance range and nearly 70% higher than last year's third quarter EPS of $0.12. The addition of Pura Vida business to the Vera Bradley, Inc. portfolio has strengthened our position as a unique lifestyle company. We are sharing resources and expertise as we grow the brands together. Pura Vida is a great strategic fit for Vera Bradley with their expertise in social media and other digital marketing strategies, and Pura Vida has already begun to leverage Vera Bradley's infrastructure, partnerships, and back-office support to bolster its growth. As previously discussed in fiscal 2019 the first stage of Vision 2020 was to restore our brand and company health. We have continued to build upon that progress in fiscal 2020. During the first nine months of this year, we once again improved the quality of our sales in our Vera Bradley full-line stores and on verabradley.com by increasing comparable full-price selling in these two channels by approximately 7%. And this is on top of the nearly 20% increase in the first nine months of last year. As we complete year two of our three-year journey, we remained steadfastly focused on growing our customer base, sales, and profitability. And as a reminder, our three key areas of focus for fiscal 2020 are number one, growth. Our plan is to return to positive comparable sales growth this year, and through the first nine months Vera Bradley's comparable sales were up 3.8% in-line with our expectations. Even in the face of a challenging North American handbag market, our improvement is being driven by exciting, innovative product and supported by data-driven marketing and a relentless focus on customer engagement and consumer experience. Customer count is up double digits year-over-year, and the acquisition of Pura Vida is adding to our growth as well. Number two, operational excellence. Mid-year, we began a two-year process of re-platforming our ERP or enterprise resource planning and other key information systems to become more streamlined, nimble, and efficient in our technology and business processes. We have also successfully focused on mitigating the impact of increased tariffs. Number three, ownership. We are reinforcing our unique culture as an ownership-based model, where every associate can drive significant value creation through both individual and team efforts. Let me shift to Thanksgiving and Black Friday weekend, overall with the shortened timeframe between Thanksgiving and Christmas, most retailers began their promotional activity earlier this year spreading the spending over more days. We also began our promotional activity early at Vera Bradley and our customer responded to this modestly increased level of targeted promotions Pura Vida exceeded their expectations over the same period. We have two very important weeks of selling to go before Christmas and at both Vera Bradley and Pura Vida our inventories, promotional calendar, service levels and website have us well-positioned for the important days ahead. Now, I will turn the call over to John to review the financial results and outlook. John?
John Enwright: Thanks Rob, and good morning. Financial results have been consolidated to include Pura Vida beginning July 17, 2019, the first full day following the acquisition. Prior period numbers have not been restated. The current-year non-GAAP third-quarter and year-to-date income statement numbers exclude Pura Vida acquisition related charges, including inventory step-up amortization, intangible asset amortization, transaction costs and accretion of the earn-out liability, as well as information technology re-platforming charges, which were outlined in today's release. Third quarter consolidated net revenues totaled a 127.5 million at the higher end of our 122 million to 129 million guidance range. Excluding Pura Vida, Vera Bradley net revenues totaled 102.5 million, a 4.9% increase over 97.7 million in the prior year third quarter. Excluding charges, consolidated third quarter Vera Bradley incorporate net income totaled 6.9 million or $0.20 per diluted share. This included $0.07 attributable to Pura Vida. As Rob noted, our third quarter results were at the high-end of our guidance of $0.16 to $0.20. Last year, we posted net income of 4.2 million or $0.12 per diluted share for the quarter. Current year third quarter Vera Bradley direct segment revenues totaled 78.4 million, a 6.7% increase over 73.5 million in the prior year third quarter. Comparable sales increased 4.7% for the quarter at the high-end of our expectations. We closed 11 full-line stores and opened six factory outlet stores in the last 12 months.  Vera Bradley indirect segment revenues totaled 24.1 million, basically flat with 24.2 million in the prior year third quarter. A reduction in orders and in the number of department store doors was offset by the timing of certain revenues that were planned for the second quarter, but realized in the third quarter. Pura Vida segment revenues totaled 25 million at the high-end of our expectations. Excluding inventory step-up amortization, gross profit totaled 74.1 million or 58.1% of net revenues, compared to 57.2 million or 58.5% in the prior-year third quarter. Pura Vida benefited the current year third quarter non-GAAP gross margin by 110 basis points. The non-GAAP gross margin percentage was slightly better than our guidance range of 57.5% to 57.9%. As expected, improvement in Vera Bradley's full-price selling and sourcing and operational efficiencies were more than offset by the impact of incremental tariffs, and increased shipping costs causing a year-over-year decline. Excluding the intangible asset amortization, accretion of the earn-out liability, and information technology re-platforming charges, consolidated SG&A expenses totaled 64 million or 50.2% of net revenues for the quarter, compared to 51.9 million or 53.1% of net revenues in the prior-year third-quarter. These non-GAAP expenses were within the guidance range of 62.5% to 64 million. In addition to the 2.5 million of intangible asset amortization excluded above, Pura Vida added 11.4 million of SG&A expenses. In addition to Pura Vida expenses, total SG&A expenses were higher than the prior year, primarily due to new factory store openings. Excluding charges, current year consolidated operating income totaled 10.1 million or 7.9% of net revenues, compared to 5.3 million or 5.5% of net revenues in the prior-year third quarter. Consolidated net revenues totaled 338.3 million for the current year nine months ended November 2, 2019. Excluding Pura Vida, Vera Bradley net revenues totaled 307.9 million or a 3.4% increase over 297.9 million in the prior year nine-month period. Excluding charges, Vera Bradley, Incorporated’s consolidated net income for the nine months totaled 13.8 million or $0.40 per diluted share. This performance included $0.08 from Pura Vida. For the prior year nine months, we posted net income of 12.1 million or $0.34 per diluted share. Vera Bradley Direct segment revenues for the current year nine-months totaled 243.9 million, a 6% increase from 230 million in the prior year. Comparable sales increased 3.8% for the period. Full-price selling in our full-line stores and on verabradley.com increased by approximately 7% for the nine months. Vera Bradley Indirect segment revenues for nine months decreased 5.8% to $64 million from $67.9 million in the prior year, reflecting a reduction in orders and in the number of department store doors. Pura Vida segment revenues totaled $30.4 million. Excluding the inventory step-up amortization, gross margin for the nine months totaled a 192.9 million or 57% of net revenues, compared to 171.5 million or 57.6% of net revenues in the prior year.  The inclusion of Pura Vida benefited the current year non-GAAP gross margin by approximately 50 basis points. As expected, the improvement of Vera Bradley's full-price selling and sourcing and operational efficiencies were more than offset by the impact of Chinese tariffs and increased shipping costs.  Excluding the Pura Vida acquisition-related charges and information technology re-platform charges, SG&A expense totaled 175.3 million or 51.8% of net revenues in the current year nine months, compared to a 156.3 million or 52.5% of net revenues in the prior year. In addition to the 2.9 million of excluded intangible asset amortization, Pura Vida added 13.8 million of SG&A expenses. Excluding charges, the company's consolidated operating income was 18.7 million or 5.5% of net revenues in the current year, compared to 15.4 million or 5.2% of net revenues in the prior year nine-month period. Now, let me turn to the balance sheet. Net capital spending for the quarter and nine months totaled $3.3 million and $11.4 million, respectively. During the quarter, we repurchased approximately $3.9 million of its common stock. At the end of the third quarter, we had approximately $38.1 million remaining under our $50 million share repurchase authorization.  Cash, cash equivalents, and investments as of quarter end totaled $48.8 million, compared to $131.6 million at the end of last year’s third quarter. The reduction from the prior year was primarily related to the Pura Vida acquisition. We continued to have no outstanding debt. Total quarter-end inventory was $134 million, which included $23.1 million of inventory related to Pura Vida.  Inventory was $96.3 million at the end of the third quarter last year. The consolidated inventory level was modestly higher than our guidance range of $120 million to $130 million, primarily due to the acceleration of quarter-end receipts in order to minimize the impact of tariffs. Now, let me take a couple of minutes to review our outlook for the fourth quarter and full-year. All forward-looking guidance numbers that I will discuss are non-GAAP and include expected Pura Vida performance. Prior-year numbers exclude Pura Vida. The gross profit, SG&A, and EPS numbers exclude the charges related to the acquisition of Pura Vida, including inventory step-up amortization, intangible asset amortization, transaction costs, and the accretion of the earn-out liability, and the information technology systems re-platforming charges. For the fourth quarter we expect net sales of $155 million to $162 million, which includes estimated Pura Vida revenues of $36 million to $40 million. Prior year fourth quarter revenues totaled $118.2 million. For the quarter, we expect Vera Bradley's direct segment net sales to increase in the low to mid-single-digit range, including flat-to-low single-digit increases in comparable sales. These expectations reflected shortened holiday selling period and modest reductions in retirement selling in the fourth quarter. We expect that Pura Vida Indirect net sales will be down in the low-single-digit range for the quarter. We expect our fourth-quarter gross margin will be between 57.5% and 57.8%, compared to last year's fourth quarter rate of 56.8%.  The planned increase reflects the benefit of Pura Vida and moving Vera Bradley manufacturing to lower-cost countries, partially offset Vera Bradley’s increased shipping costs and modest increase in promotional activity. Fourth-quarter SG&A expenses are expected to range from $66.0 million to $67.5 million, compared to last year's fourth quarter SG&A expense of $55.6 million, reflecting incremental expenses related to new factory store locations, partially offset by full-line store closures and approximately 13 million to 13.5 million of estimated expense related to Pura Vida operations. We expect consolidated fourth quarter diluted EPS to be $0.49 to $0.53 reflecting accretion of approximately $0.14 to $0.16 from Pura Vida. Diluted EPS was $0.25 in the prior year fourth quarter. We expect inventory to be in the 125 million to 135 million range at the end of the fiscal year, compared to 91.6 million last year. Included in that estimate is approximately $20 million of Pura Vida inventory. In addition, the Vera Bradley portion affects the acceleration of our receipts in order to minimize the impact of tariffs. For full-year, we expect net sales of $492 million to $500 million, which includes estimated Pura Vida revenues of $66 million to $70 million. Net revenues totaled $416.1 million last year. Our full-year revenue guidance assumed Vera Bradley Direct segment net sales will increase in the low-to-mid single-digit range, compared with prior year, including a low single-digit increase in comparable sales. We expect that Vera Bradley Indirect net sales will be down in the mid-single-digit range for the full-year. We expect our consolidated gross margin for fiscal 2020 will be between 57.3% and 57.4%, compared to 57.3% last year. For Vera Bradley improvement in full-price selling and sourcing operational efficiencies were more than offset by the impact of incremental tariffs and the increased shipping costs. However, the inclusion of Pura Vida should have a positive impact on the annual consolidated gross margin. We expect SG&A expense to total between 241 million and 243 million for the year, compared to 212 million last year, reflecting incremental expenses related to new factory store locations, partially offset by full-line store closures.  Approximately 26.8 million to 27.3 million of the estimated expense relates to Pura Vida. We expect full-year diluted EPS will range from $0.90 to $0.94, an increase of over 50% from $0.59 last year. Approximately $0.22 to $0.24 of that increase is attributed to Pura Vida. Now on tariffs. We continue to expect that tariffs will negatively affect gross margin by approximately 80 basis points for the year equating to about $0.08 per share. We expect capital expenditures will total approximately 13 million, compared to 8.1 million last year, reflecting investments in new factory stores and technology and logistic enhancements. We expect to generate 30 million to 40 million of consolidated operating cash flow in fiscal 2020 with estimates lower than our prior estimate, primarily due to projected year-end inventory levels. Rob?
Rob Wallstrom: Thanks, John. Let me take a few minutes to give you an update on both of our brands Vera Bradley and Pura Vida. Let me start with Vera Bradley. As planned, we have returned to positive sales growth this year. Our strong [4.7 third quarter comp] shows we are successfully engaging our current customers, re-engaging lapsed customers, and bringing new customers to Vera Bradley with our compelling and innovative products supported by our targeted marketing initiatives and customer experience efforts. On the product front, we continue to build dominance in our key franchise areas of travel, campus, gifts, and beach, as well as our Top 10 items. We had a good back-to-school selling season in August and September with sales of backpacks and lunch bags higher than last year. We benefited from innovation this season, including our clearly colorful collection, larger school backpacks, smaller fashion backpacks and slings. Backpacks and slings are important components of our hands-free focus, which is continuing to gain momentum. We have brought a lot of innovation and newness to the market this fall. The rise of the athleisure movement has made customers' purchasing decisions increasingly driven by performance. In August, we introduced our first in the series of innovative performance fabrics called Performance 12. Performance 12 was a beautiful solution that is lightweight, durable, and water repellent. Customers love it. And it is especially appealing to both younger and higher income customers. We will continue to innovate and add sustainability elements to our products. Our reactive collection made a fabric from recycled plastic bottles will be introduced in January.  And we have enhanced our signature duffle franchise by adding more sizes and shoulder straps. This fall, we introduced our innovative lay flat collection, [versatile pieces], including our duffel, weekender and cosmetic bags that unzip on all three sides and open flat for easy accessibility and ultra-organized packing. In September, the accessories counsel selected our lay flat duffel as a winner for its design excellence awards in the Travel Luggage Category. Hard-side luggage continues to be growing in popularity with our customers and we will continue to add more options to our collection. Novelty fabrics and products continued to perform well.  Our fun and playful cats meow capsule collection debuted in the September and was a big kit with our cat loving customers, with many piece that’s selling now quickly. These types of special limited time capsule collection centered around seasonal periods or novelty add excitement and a sense of urgency for our customers to shop. They also attract new customers to the brand. We're certainly in the middle of the holiday selling season and have an amazing assortment of gifts to appeal for a wide range of customers. Our holiday collection includes our Beary Merry Polar Bear novelty styles, as well as a popular Buffalo Check pattern, our cozy collection of top-selling throes, as well as holiday Robe, sleepwear and slippers are always great gift ideas. We have made it easy for holiday shoppers with our gifts under collections and gifts under $25, $50, and $100. Let’s shift to product collaborations. Offering limited edition collections in collaboration with unique partners increases our brand exposure, introduces new customers to our brand, and provides momentum to our growth. These partnerships are truly a testament to the strength and wide appeal of our brand. As you know, we have entered into several very successful and high-profile product collaborations this year, including Gillette, Venus, Starbucks, and Crocs. In October, we introduced the co-branded Vera Bradley PopSockets collection of five Vera Bradley inspired designs for PopSockets' patented phone grip. In November, we were proud to partner with Sword & Plough to create an exclusive limited edition, mini-collection consisting of a backpack and coordinating zippered pouch, which debuted on Veterans Day. Supporting military families is very important to our customers, and this was a great opportunity for us to join in. The collection was manufactured in the U.S. and support Sword & Plough’s work American manufacturers who are owned or partially owned by veterans. We also designed an exclusive backpack inspired by the central character in Hulu’s original series Holly Hobbie. Holly’s signature backpack has featured through Season 2 of Hulu’s breakout hit, an additional Vera Bradley backpack styles and designs are spotlighted throughout the 10-episode season. We are working with several other iconic internationally known brands on exciting future product collaborations. Most notably, we're thrilled about our 2020 collaboration with Warner Brothers consumer products to create a Vera Bradley plus Harry Potter back-to-campus and dorm line and the Vera Bradley plus Harry Potter cozy capsule for holiday gifting. We know that many of our Vera Bradley fans are also Western World devotees who will love these products.  Now, let’s turn to marketing. Our digital and marketing teams are focused on growing our customer base and enhancing customer engagement. In mid-year, we completed the insourcing of our customer data science team, added to our business analytics team and completed the rollout of our new customer data platform. The insights gained from our robust customer data allow us to adjust our marketing mix and approach on a real-time basis. The investments we are making are paying dividends. We are experiencing a double-digit increase year-over-year in new customers for the brand, and double-digit increases in revenue directly related to these activities. Brand collaboration's and influencer engagement continue to be important for the brand. Each of our product collaborations showed the strength and relevance of our brand and generated tremendous media buzz. Our back-to-school and performance will influence our campaigns drove awareness. Through the nine-month period, year-over-year of media impressions have increased more than a 150%, largely attributable to these collaborations and influencers. In the spirit of sharing experience between our two brands we are learning from Pura Vida social media successes. We are evolving our presence on key social media channels, especially on Instagram. And that lead to a double-digit growth in new website visitors and revenue attributed to social media in the third quarter. As we reinforce our position as a total stakeholder focused and socially conscious organization, marketing and social media engagement are key to this endeavor. We continue to strengthen our community support and charitable initiatives under the umbrella of VB cares. Identifying areas where we can make a meaningful impact and that are meaningful to our customers, particularly in the lives of women and children. We want to create positive change and often invite our customers to participate with calls-to-action. We just wrapped our wrapped up our second year back-to-school partnership with Blessings in a Backpack, an organization that mobilizes communities, individuals, and resources to provide food for the millions of elementary school children across America who might otherwise go hungry. We donated 50,000 backpacks to children in need and with the support of our customers, we were able to donate nearly a 140,000 to the organization this year. In addition to supporting a great cause in helping children and their families, our collaborations with Blessings in a Backpack also generated over 2 billion media impressions during the third quarter.  At Vera Bradley, activities supporting the Vera Bradley foundation for breast cancer go on all year. With the support and compassion of our customers, our Be the Hope campaign raised 2.1 million this year, bringing our total donated to the foundation to 34.6 million since its inception. The foundation funds advanced breast cancer research at the Vera Bradley foundation center for breast cancer research at Indiana University School of Medicine.  Moving onto distribution. Our goal is to grow sales in each of our direct customer channels in fiscal 2020, and through the first nine months of this year we are on track. In our full-line stores, we continue to focus on our highest potential stores by enhancing the customer experience further localizing our assortments and making our windows and in-store presentations pop with excitement. We continue to rationalize and strengthen our full-line store base. We closed 8 underperforming full-line stores in the first nine months of the year and expect to close a couple of more in January. This will bring our total full-line closings to 25 since the beginning of fiscal 2018. And we could potentially close up to an additional 15 stores following this fiscal year. At the end of the quarter, we had 91 full-line stores. This year, we are focused on strengthening our factory performance by refining our pricing model and adding six new locations. In addition, we successfully relocated and expanded three of our top factory stores in high domestic tourist destinations. Sevierville, Tennessee; Destin, Florida; and Branson, Missouri. And post expansion, we are experiencing double digit sales growth in each of these locations. At the end of the quarter, we had 63 factory stores. Our goal is to create an engaging customer experience in our full-line and factory stores on verabradley.com, in our fulfillment operations, and in our customer service department. Our voice to the customer initiative, and our full-line customer service model continue to drive industry-leading customer satisfaction scores quarter-after-quarter. In the specialty channel, we remain focused on growing our top accounts, while we’re beginning to see stabilization and on re-engaging lapsed customers. As you recall, we are reducing our department store distribution to focus on the most productive locations. Vera Bradley is currently represented in about 2,200 specialty stores, and 440 department stores.  Now, let’s talk about Pura Vida. Pura Vida had a terrific third quarter with sales up more than 50% over last year. We experienced very healthy growth across both direct and indirect channels. Like Vera Bradley, Pura Vida is focused on continuing to grow and expand as a lifestyle brand retaining existing fans and adding new customers along the way, by constantly evolving their designs in product offerings and enhancing customer engagement through marketing and social media. On the product front, Pura Vida continues to experiment with and introduced new designs in their signature core bracelets and jewelry, as well as introducing new trends outside of their core [indiscernible]. This year's launches of their mood ring and mood bracelet, [enamel daisy collection], semi-precious stone charms and jewelry in stone hoops have been wildly popular. Expansion into other jewelry categories remains strong. For breast cancer research to the boys and girls’ clubs to save the dolphins, charity bracelets continue to be a big draw with Pura Vida reaching 2 million in lifetime charitable contributions during the quarter and leaning into the personalization trend Pura Vida’s a gradable collection will debut in January. For the holiday, they have created jewelry exclusive and giftable box sets, and they introduced a holiday gift guide for the first time this year. Turning to marketing and consumer engagement. Pura Vida is one of the most highly engaged brands in the accessories space. They surpassed the 1.9 million market followers on Instagram this quarter and the number is growing monthly. They are consistently lifted as one of the most, if not the most engaged jewelry brand on Instagram. Pura Vida’s creativity and effectiveness in social media engagement is nearly unsurpassed. Their army at 80,000 micro influencers is a key part of their strategy. And during the quarter, Pura Vida successfully partnered with several of their key influencers for special style pack launches that were extremely popular. Pura Vida also did co-branded social media giveaways with such iconic brands at Sephora and Movement. For the Sephora Collection giveaway, both brands posted giveaway imagery on their respective feeds offering a bundle of Sephora collection goodies along with a set of Pura Vida bracelets to three vendors.  For movement, they offered a watch and a pair of sunglasses and Pura Vida offered a clutch of Pura Vida items to one vendor. Types of collaborations are ongoing and create excitement, increase Pura Vida’s brand awareness and bring new customers to the brand. As a final note. Like Vera Bradley, Pura Vida consistently ranks at the top of the industry for the Net Promoter and customer satisfaction scores. Just to wrap up, we are certainly pleased with our EPS growth of nearly 70% in the third quarter with our strong brands, our talented and innovative teams, our solid balance sheet, and our clear strategic direction, we are well positioned for the future. Over the last two years we have made significant progress in restoring our company to health and have returned to growth. We are looking forward to completing our Vision 2020 journey in fiscal 2021 and continuing our momentum into the years ahead. Operator, we will now open the call to questions.
Operator: Thank you. [Operator Instructions] We will now take our first question from Mark Altschwager with Baird. Please go ahead.
Mark Altschwager: Thank you. Good morning and congratulations on a solid quarter. With respect to the comp growth, can you break down traffic and ticket in AUR, I guess more broadly as we think about the low-single digit comp growth this year, how much of that is a result of some of the pricing actions you've taken to offset tariffs? And how do you expect the complexion of the comp to change as we head into 2020?
Rob Wallstrom: Well, thank you Mark. From the comp standpoint, what we're seeing is, improvement in traffic, overall traffic is up slightly. We're seeing conversion up slightly. We're seeing ADS up slightly, while we're seeing a little bit of negative pressure again slight is in AUR. So, that from an AUR standpoint we're seeing customer continue to go towards this hands-free movement, smaller items, which is driving down the AUR slightly. As we look forward to next year, what we're planning on is similar type of performance in terms of positive comps across both of our store channels, as well as continuing to lead comps with our e-commerce business is the big driver.
Mark Altschwager: Okay, thank you for that. And with respect to the new customers you're attracting to the brand, what does the average spend look like relative to some of your more mature customers and I'm curious what categories, if any, they are over indexing to?
Rob Wallstrom: In terms of the detail, in terms of the new customer, what we are seeing is the new customer is definitely responding to what we're bringing in, in innovation, whether it's new fabrics, whether it's novelty. So, they are definitely coming in with the newness that we're bringing, overall into the brand. Obviously, if they’re joining in, we're going to watch their spend, we kind of need them to anniversary a year to see how their spend goes throughout the holiday season, but we're encouraged by the early signs.
Mark Altschwager: Thank you. And then maybe one last one from me just on the tariff front. I guess if a deal is reached on tariffs in the coming months, I'm wondering if you could frame-up the various scenarios we should be thinking about from an earnings perspective, next year. I'm just wondering how much of a lift would you see the margins and earnings all else equal to the extent that there is a lift would you think about reinvesting some of that in customer acquisition versus letting it fall to the bottom line. Obviously, none of us know how this is going to play out in the short run, but just curious how you're thinking about that in the near term.
John Enwright: Yes. And Mark, this is John. So, from a tariff perspective, right now we're planning for tariff's to be around, but if tariffs were to, excuse me, go away. I think when we think about next year, you won't have an 80-basis point impact, but it probably will have, call it 40 basis point to 50 basis point impact of improvement and I think we will have to think about kind of how we reinvest that right. So, I think we probably would reinvest on the backend customer acquisition.
Mark Altschwager: Thanks for all the detail, and best of luck this holiday.
Rob Wallstrom: Thank you.
John Enwright: Thanks Mark.
Operator: We will now take our next question from Oliver Chen with Cowen and Company. Please go ahead.
Oliver Chen: Congrats and thanks. Regarding next year, what are your thoughts for some of the key product drivers or initiatives that will lead to your constructive view of a positive comps as we look at next year? I would also love your updated thoughts on customer acquisition and progress you've made towards new customers and how that will continue to evolve?
Rob Wallstrom: Thanks, Oliver. First of all, as we look forward, what we're excited about is the platform of innovation that we have planned across a couple of categories. One of it is, just really around fabric, you've heard with our performance twill, how are customers responding to that. We have the reactive collection that's planned in January, which we think again we'll have similar response from the consumer. I mean, we're continuing to drive that fabric innovation, which we believe will be key and we have more in the development pipeline for even the following year. In addition to that, we believe that the collaborations continue to be an important part of the story, which help partially through revenue, but also through customer acquisition. We think that Harry Potter is going to be a really important collaboration for us next year. As we think about product categories, it's really in the areas where we’ve always had strength and we're just really doubling into. So, the backpack classification continues to be very strong for us. The travel classification continues to be strong. So, those are the two primary areas of focus. As we think about driving our business next year, the other thing that becomes really important is our whole customer piece of the business, in terms of everything that marketing has been doing in terms of data, and using data to improve our marketing effectiveness so, we can leverage our marketing spend to bring more customers in and re-engage more customers who have lapsed, that becomes really important. And then as we think about next year from a channel breakdown, our investments, not only in data and customer acquisition, but just in the digital experience overall, in terms of e-commerce or ERP work being completed, we believe, we'll really keep digital as the fastest growing channel that we have.
Oliver Chen: Okay. And what's important for us to know as you think about indirect and how that channel should grow or be flattish? Would love your thoughts on the run rate and the latest strategies and what [ending] [ph] you are thinking about the health of that channel?
Rob Wallstrom: Yes. The indirect channel, our growth strategy there is about, just trying to bring that more to a sustainable level of performance. We don't see that as a high growth area, with inside of it, there's obviously mix changes in terms of what's doing well and maybe what is getting smaller. So, if you think about what's happening inside that channel, digital, seems like Amazon are growing, seems like department stores are shrinking, which I don't think will probably be a surprise based upon everything that we're seeing in the market. In our specialty channel, it's encouraging to see that our top accounts, our best customers are stabilizing and beginning to show some growth. The one negative pressure we have there continued just kind of that channel in terms of mom and pop ownerships in the number of stores that closed. So, offsetting growth under our best customers with some store reduction with how we're approaching that, but we think overall, we're expecting that channel to be relatively flat as we go forward.
Oliver Chen: Okay. And on the promotional front, you gave a lot of details around the environment being competitive and you – but you've also managed doing a good job with your own full price selling. How were promotions this year versus last year and what is the outlook for merchandise margins as you see it?
Rob Wallstrom: Well, I think promotional year-over-year as we've gone through it in terms of our core promotion, over the Black Friday period was very similar to last year. So, it's not so much that the prices went deeper, it's more, what is the consumer responding to. And so, what we're seeing or is being very discerning in terms of pricing and very driven towards the promotional period.  So, we're trying to manage that out, but we're very committed to our core strategy of reducing retirement and we're not moving off of that at all. We're still planning to take $2 million out of this quarter. So, we feel that we definitely are on track, but we are seeing more discernment from the customer in this quarter in terms of she’s more price sensitive that feels like then she was in the previous quarter.
Oliver Chen: And Rob, what do you think about the best strategy going forward to optimize that? And how do you anticipate your thoughts around promotions this year versus last year and into next year?
Rob Wallstrom: We think really the key is becoming more and more driven towards individual customer promotions and really how do we kind of leverage and really promote appropriately to each customer differently or the building up of the data, practice that we have the analytics, the data scientists, the database in house and really been able to target promotions is going to be critical to kind of navigating through this.
Oliver Chen: Okay. And the traffic was really helpful. That it was slightly positive. Do you expect traffic to be volatile? Will that be a risk factor? It's been an industry factor in many cases. Thanks.
Rob Wallstrom: Yes, we definitely – it's been an interesting holiday season because I think with the condensed calendar and how the customer shopping, it's been a little bit erratic kind of up and down. So, we really have to kind of get through the whole season and see how all balances out.  So, we are watching that. But overall, we've been encouraged with everything that we've been doing from a product and marketing standpoint that we've seen our traffic become more stable, where if you look over the last few years traffic was definitely a significant negative drain for us, we're seeing it become more stable. We're not seeing it turn into robust growth, but we're seeing it become more stable and we're hoping to see that as we go forward.
Oliver Chen: Okay. And our last question is about your digital roadmap. What are your thoughts on what your customers may want in terms of the buy online pickup in store and mobile functionality and where you're headed with the priorities?
Rob Wallstrom: I would answer a few ways. So, first of all from our ERP standpoint, there's a lot of things that were priority in that, but as we did the ERP and kind of re-platforming of e-commerce of really making a seamless, unified commerce experience is critically important and it's one of the driver’s underneath that. And what we are seeing from the customers, we are, we currently do buy online and pickup in store, we think that that's an area that we continue to grow. We think that the digital experience too, is about how do we use the data and the individual experience to make the digital experience individualized, and how can we really show the customer was most important to her as opposed to just giving her generic messages. So, it's really focusing on each consumer and given a very customized experienced long-term, and that's obviously a long-term roadmap and we'll start with some wins and then build them as we go forward through next year and the following years.
Oliver Chen: Thank you. Best regards. Happy holidays.
Rob Wallstrom: Thank you, Oliver. You too.
Operator: [Operator Instructions] We will now take our next question from Eric Beder with SCC Research. Please go ahead.
Eric Beder: Good morning.
Rob Wallstrom: Good morning.
John Enwright: Good morning.
Eric Beder: So, a little bit of Pura Vida. I know you've been running some tests of the product in the Vera Bradley stores, what is the future for that? And is there a potential down the road, maybe to be a stand-alone Pura Vida store time-line?
Rob Wallstrom: Hi, Eric. Couple of responses. First of all, we have done a few tests with Pura Vida and the Vera Bradley store, we did our backpack collaboration, we did the Breast Cancer Foundation bracelet, and we think there is an opportunity to do a little bit of cross promotion. We are working on continuing to expand the Pura Vida plus Vera Bradley Charity bracelet program. We think that's a perfect partnership for both brands, both brands have this great history of giving back and we're seeing our customers get very excited by that and the ability to be engaged. So, I would expect to see that continue to grow as we go into next year. In terms of Pura Vida in standalone stores, we are definitely working with the Pura Vida team to understand really going forward. The best kind of channel mix. So, we are evaluating all of those things and we'll have more to talk about next year.
Eric Beder: Great. I mean, you look at the tariff situation. What is your – I think you brought up in the last conference call, for [your industry], what was the percentage you believe you're going to have from China this year and how should we be thinking about that going forward?
John Enwright: Eric, this is John. So, we said we'd roughly call it mid-20s by the end of this year and we expect to get down to call it mid-teens. So, 15% 16%.
Eric Beder: And is that only Vera Bradley's of the entire company because I know Pura Vida lower, should lower that even more. Right?
John Enwright: Yes, so that's specific is just specific to the Vera Bradley brand. So, if you look at all purchase associated with the total company, which I don't have that in front of me, but that would lower the total percentage.
Eric Beder: Okay. I know you have the impact, a last question, is the impact on the accruals from the buyer for Pura Vida, are those going to continue and when do you expect to make a cash payment on the Pura Vida buyout?
John Enwright: So, I think you’re talking about earn-out liability, the accretion to that. Yes. We expect to see some accretion actually in the fourth quarter. So, the total pay-out would be about $22.5 million in the timing of pay-out would probably be first quarter of next year.
Eric Beder: Okay. Good luck, guys and a good holiday season.
John Enwright: Thanks.
Rob Wallstrom: Thank you, Eric.
Operator: We'll now take our next question from Steve Marotta with CL King. Please go ahead.
Steve Marotta: Good morning, Rob, and John. Rob, you mentioned Black Friday weekend, the promotions started earlier during the week. Can you quantify a little bit, maybe Monday through Cyber Monday versus last year? Can you quantify a little bit of the performance on a company-wide basis during that period of time?
Rob Wallstrom: Yes, in terms of Black Friday promotion. What we saw is a couple of different things. One, large retail industry. I think we've seen Black Friday start to become almost a month-to-month, and probably as you think about the Best Buys and everybody else out there, but specifically within our world with close competitors, what we saw is everybody really begin to move to the week in prior, so that we can prior to Thanksgiving is really when they started kind of Black Friday promotions.  We did in more moderated version of our Black Friday promotion that we can before and then really kind of stepped it up as we moved into the Black Friday period. So, if you take that entire period from the weekend prior through kind of Cyber Monday what we were seeing is performance across channel is very similar to what we're guiding with for the quarter, kind of in-line with that low growth rate, but definitely a lot of movement in terms of where the volume is showing up by day.
Steve Marotta: Okay. That's very helpful. Also, could you please remind me of the split of Pura Vida between direct and indirect? And if you could also comment on the integration where you are from savings and synergies standpoint, from a costing standpoint. I know that there is more benefits obviously coming down the roads on Pura Vida sharing their social media capabilities, but I mean, just on a income statement standpoint, how would your – operational standpoint, how integrated and when do you think that will be complete? Thank you.
John Enwright : So, from an Indirect to Direct perspective, we think about from a Pura Vida, they're roughly about 30% wholesale right now, so that it is 70% direct. We don't anticipate that changing much and may fluctuate depending per quarter that's roughly about the rate we expect. And in regards to the synergies, we've made some progress in regards to some of the back office. I think our finance, HR, some of the corporate functions, we've taken on some of that responsibility. There will be more significant response, we've taken on current call first half of next year, but as you stated the work, there’s not a significant cost savings both into this plan, there’s not going to be a significant P&L impact from the savings. I think it was when you bring both brands together and you look at kind of what we can do for each other from a help drive sales, help drive performance for each brand, I think that's really where you'll see the savings. Let's see if the synergy is exceeding.
Rob Wallstrom: Yes, I think just to reiterate what John was saying, you know the biggest benefit we see is sales growth across Pura Vida, as well as bring it into Vera Bradley and then I will call cost avoidance for Pura Vida. You know they continue to scale the importance of adding in more infrastructure has become an important time. And we can do that in a way that's very low cost by leveraging that we already have at Vera Bradley, and it can help them avoid cost as they continue to scale the business. And so, you don't see it as a quick line in the P&L, but it's going to allow them to continue to drive that approximately 20% EBITDA that they are delivering. We think that the synergy between the two companies will help support them, but you have to remember that they are a very, very lean organization. They have got 30 plus employees in their organization. So, there's not a lot of areas, take a lot of expense out because the number one is really investment in marketing.
Steve Marotta: Very helpful, thank you.
Operator: [Operator Instructions] We will now take our next question from Dana Telsey with Telsey. Please go ahead.
Dana Telsey: Good morning, everyone. As you think about the new collaborations you've done on product is the newness and fabrics, how much of that do you see driving the business lately and impacting AUR? And what are you seeing with the reception to that product in the Indirect channel and how it's helping. So, what you're seeing in the Direct channel? And lastly on the Indirect channel, how do you see that customer base there? Is it continuing to be fine-tuned? Thank you.
Rob Wallstrom: Thanks Dana. From a co-lab standpoint, I would say year one of the expansion in the co-lab, we were very focused on being prudent in how we did it. We focused on our direct channels, a lot of what we were doing was more exclusive to our direct channels and so we've seen more of the benefit come through our full-line and e-commerce business. As we're moving into year two of the strategy, and we have a better baseline understanding of how the consumers responding to various collaborations, we believe there’s an opportunity to bring some of our indirect partners into that and we're very excited by that, I believe our indirect partners are very excited by that. So, you'll see that begin to expand as we move into year two of that. It's been really important to get new customers in the brand and also keep our current customers excited. A lot of our customers are very passionate and very loyal, have a big class of the Vera Bradley and they're looking for stuff that's new and unique and things like collaborations and fabric innovations, get them coming back. And we've really seen very nice results in terms of large customers returning to the brand as we've been bringing these new – this new innovation. So, we think that's really critical to what we do going forward. As you think about Indirect, kind of what we spoke to earlier, we definitely are continuing to see that next rebalance. We believe as we continue to go forward, more that Indirect business will become e-commerce to digitally focus unless a bit will be in the department store channel, that's one area. As we think about the specialty channel, again, we're very encouraged to see our best customers in our top accounts begin to see Vera Bradley growing again and we're seeing a renewed enthusiasm and excitement around the brand, as we've been working together and really a strong level of partnership and continuing to strengthen that partnership we've seen nice results with top accounts. The one headwind we continue to have is just the economic pressure that some of the mom and pops are feeling. And so that's the piece that we're navigating through with what's the best way to handle and offset some of that, but I'll call macroeconomic pressure. It’s less about our brand, and just more about their distribution channel.
Dana Telsey: Thank you.
Rob Wallstrom: Thanks, Dana.
John Enwright: Thank you.
Operator: It appears we have no further questions at this time, I'd like to turn the call back to CEO, Rob Wallstrom. Please go ahead.
Rob Wallstrom: Well, thank you very much for joining us on today's call, and thank you for following our journey and the progress we have made since we launched Vision 2022 two years ago. We remain confident about the future and our ability to deliver enterprise growth in revenue, profit, and shareholder value. Thank you for your time and happy holidays.
Operator: This concludes today's call. Thank you for your participation, you may now disconnect.